Didier Michaud-Daniel: Good afternoon and good evening to everyone. Thank you for joining Bureau Veritas H1 2018 Results Call. Nicolas Tissot, our CFO, is here with me to present the financial review. Let's move to the Page 5 and we’ll move to few key highlights for H1 2018. Our OpEx services business signed its largest ever contract with Qatargas. In digital, we accelerated our collaborative BIM initiatives by partnering with Autodesk. On the M&A side, we successfully completed a number of acquisitions on track with our 2020 plan and we further strengthened our group's organization. For the first half, we achieved a record set of numbers, and this confirms the acceleration of our organic goals compared to last year. Our five growth initiatives continue to deliver strong growth. Revenue for the quarter was EUR2.34 billion, up 6.1% at constant currency, with organic growth at 3.5%. On the M&A side, acquisitions continued to support our goal at even 2.6%. As anticipated, the currency impact was negative 7%. Adjusted operating margin increased by 20 basis points at constant currency, in line with our full year guidance. Adjusted net profit was up 12.9% at constant currencies and free cash flow improved. Our full year 2018 outlook is confirmed and our confirmation plan continues on track. Move to Page 6. Since the start of 2018, we have added around EUR85 million of unrealized revenue with fixed acquisitions, all supporting our growth initiatives. More recent M&A has been directed towards the agriculture space in order to complete our footprint, notably in Asia. Early July, we made the acquisition of Permulab in Malaysia, a leading player in food, water and environmental services. This means that we are fully on track with our 2020 plan, with nearly 50% of our external growth ambition already achieved. Page 7, a few words now on the last Qatargas contract, which we are very pleased to have been awarded. Qatargas is the world's largest LNG producer. We are now their primary supplier for inspection integrity of asset management services for all their assets in Qatar. The estimated total value of the contract is EUR64 million over a fixed term of five years with a two-year extension option. This contract illustrates the success of our OpEx strategy gross initiative. It is been awarded as a result of the newly-developed integrated solution approach. The aim is to replicate this across Bureau Veritas globally. Page 8, in H1, we made further significant steps in the roll out of our digital strategy for Building & Infrastructure. Building information ordering is now prerequisite to winning more B&I tenders. As China, with the most mature growing market for collaborative BIM, we have chosen to set up our BIM center of expertise in Shanghai. To support the deployment of the strategy, we are pleased to announce the global partnership with Autodesk, leader in 3D software. Its tools enable automated verification from the earlier stages of building project design. As an illustration, Page 9, of how BIM is critical for B&I project management. We are currently working under Shanghai Planetarium where we provide technical management services for the all life cycle of the asset. The benefits are numerous: quicker, safer and cheaper for the customer. For instance, it enables a 70% reduction in design changes to be resolved by the BIM technology. Now I'm going to hand over to Nicolas for the financial review.
Nicolas Tissot: Thank you, Didier. Starting with the revenue bridge for H1 on Slide 11. Organic growth reached 3.5%. Acquisitions had a 2.6% contribution to top line growth, net of a negative impact of 0.3% following the 2017 divestment of non-strategic NDT activities in Europe. Forex had a negative impact of 7%. This is due to the appreciation of the euro against the USD and pegged currencies as well as the depreciation of several emerging country currencies. For the full year, we still expect top line to be negatively impacted by around 4% and adjusted operating profit by around 6%. The recent strengthening of the USD versus euro to the 1.15, 1.20 level is offset by the weakening of many emerging countries' currencies. All in all, revenue growth accelerated to 6.1% at constant currency. In Q2 2018, on Slide 12, organic growth accelerated to 4.4%. Acquisitions had a 3% contribution to top line growth. Forex had a more limited 6.1% negative impact. All in all, revenue growth moved up to 7.4% at constant currency. Turning to growth by business on Slide 13. The first point is that five out of six businesses representing 93% of the group's revenue reached a solid base of organic growth of 4.3% on average. Three businesses grew mid-single digit and industry confirmed its return to positive organic growth. Certification recorded double-digit growth, thanks to the ongoing standards revision impact. As expected, only Marine & Offshore is still suffering from the past market downturn. Secondly, B&I achieved double-digit growth at constant currency, boosted by strong contribution of recent acquisitions, including EMG in the U.S. since February 2018. Moving to Slide 14. In H1 2018, growth was fueled by both the base business and the five growth initiatives. The base business is up 2% organically year-on-year with an acceleration to 3.1% from Q2. Most of the activities performed well with the exception of Marine & Offshore and Oil & Gas CapEx-related activities. Excluding these, the base business grew organically up 4% in H1. Our growth initiatives continue to deliver up 6.6% organically and 7% in Q2. Looking further at the five growth initiatives on Slide 15, B&I performed strongly, up 9.7%. After a slow start, OpEx grew 4.2% with an improvement in Q2. Agri-Food grew 3.2% with strong performance in food, while agri was impacted by volatile market condition. Automotive recorded 7.2%, led by connectivity testing. SmartWorld achieved double-digit growth. The contribution from acquisitions was strong, as all our M&A efforts are focused on the growth initiatives. Overall, our total growth continues as planned, up 15.5% at constant currency. A few key points regarding these robust H1 results on Slide 16. An adjusted operating margin of 14.9%, up 20 basis points at constant currency. Adjusted EPS of 2.3% year-on-year and 13.1% at constant currency. Free cash flow stood at EUR62.9 million, up 182% at constant currency year-on-year. This is from lower levels last year, and I'll go further into the detail later in the presentation. Adjusted net debt is up 8.5%, mainly due to higher acquisition versus last year. Turning to adjusted operating margin of 14.9% in H1 2018 on Slide 17. It reflects a 10 bps organic improvement to 15.3%, a 10 bps accretive impact of acquisitions for margin at constant currency is up 20 bps. At a 50 bps negative Forex impact, on a full year basis, we still expect Forex to negatively impact our margin by around 30 bps two-third of the portfolio has stable or improving margins, adding 40 basis points to group organic margin. This is led by a significant improvement in certification and by a high margin in consumer product. This improvement is the result of the combination of operating leverage, strict cost management, lean efforts and restructuring paybacks. A third of the portfolio has a minus 30 bps impact on the group's organic margin with minus 10 bps coming from Marine & Offshore due to lower volume of activity, notably for new construction and offshore services. Minus 20 bps resulting from negative mix and price effects in Building & Infrastructure. Looking at the operating profit bridge on Slide 18, our half-year operating profit is slightly up compared to last year at EUR291 million, Restructuring costs of EUR19.5 million were significantly lower than last year, but allowed the continuation of our proactive cost management and efficiency improvements. Actions were taken in government services, building and service operations in France, Marine & Offshore in-service activity and commodity. This restructuring will continue to support our margin. And there are net financial expenses on Slide 19. We have, first, a decrease of financial charges due to lower average gross debt, while our average cost of debt is stable year-on-year at 3.2%. Secondly, the depreciation of several emerging country currencies reduces the Forex impact from minus EUR10.9 million to minus EUR2 million. Moving to tax rate on Slide 20. The adjusted effective tax rate of the group was down 110 bps at 32.8%, mainly resulting from the absence of the 3% dividend contribution in France after this was canceled in 2017. For the full year 2018, we still expect our adjusted ETR to be in the 33% to 34% range. The tax rate should be higher in H2 as a result of higher resulting taxes on internal dividends. Looking at cash flow on Slide 21. There are several elements mentioned: the increase in profit before income tax, mainly driven by less restructuring items and financial expenses; the reduction of the cash tax payment linked to the absence of those 3% dividend contribution in France; and one-off payments in 2017 related to tax holds. Working capital outflow was contained versus last year while organic revenue growth accelerated in Q2. As a result, operating cash flow is at EUR165.5 million, up 10.7% year-on-year. Net CapEx stands at EUR59 million, showing a disciplined approach by the group, at 2.5% of revenue. For 2018, we still expect CapEx to be in the range of 3% to 3.5%, notably to support our digital transformation. And lastly, the decrease in interest paid due to a lower average gross debt. All in all, free cash flow increased by 182% on a constant currency basis, benefiting from the favorable comparison base. Regarding our financial structure on Slide 22. The adjusted net debt stands at EUR2.46 billion compared to EUR2.09 billion in December 2017. This reflects a EUR62.9 million free cash flow, EUR123.7 million of the acquisitions and turnouts paid in H1 2018, EUR254.8 million of dividends distributed to shareholders in H1, EUR24.1 million on share buyback and EUR26.5 million negative Forex impact. The net debt-to-EBITDA ratio stands at 2.82x, well below our 3.25x bank covenants. Thank you. I'll now hand it back to Didier for the business review.
Didier Michaud-Daniel: Thank you, Nicolas, thank you. Starting with Marine & Offshore on Page 24. As anticipated, the business was down 5.4% organically in H1 as a result of high single-digit decline in new construction which eased in Q2, with activity in Asia remaining at a low level. Slight decline in core in-service due to the unfavorable timing of inspections and some price pressure although the level of freighter ships was stable, and mid-single-digit decline in offshore-related activities due to the lack of deep sea projects and the reduction of risk assessment studies, notably in Asia and in the Americas. On the upside now. New orders amounted to EUR3.5 million gross tons at the end of June 2018 compared to 2.9 million a year ago, confirming the recovery of the market. The order book, which stood at 13.4 million gross tons at the end of the quarter, has now standardized them. Commercial wins include passenger ships in Norway, FPSO in China and bulk carriers in Japan. Margins were down to 21.3%, explained by the decline of volumes and by the negative FX impact. Further restructuring actions were taken in the in-service activity. Looking ahead in 2018, we still expect full year organic growth to be slightly negative. The in-service activity should remain resilient. For new construction, we still expect H2 to be stable to positive, benefiting from the ramp-up of recent order wins. We're now on the upcoming IMO 2020 regulation, which will benefit a number of our businesses from 2019. Shipowners can meet the new standards using low-sulphur oil. This will support our oil and petrochemical business. An increasing number of ship also using gas as a fuel, which will support the LNG segment for new construction, where we have a leading position. Ships may also meet the sulphur emission requirements with the inflation of scrubbers, which will increase our acquisition work. Moving to Agri-Food & Commodities. The business continues to improve with revenue up organically in H1 and 4.8% in basic segments. Metals & Minerals confirmed sound recovery, up 11.4% in organic goals, supported by 18% growth for upstream activities across all geographies. Trade achieved low single-digit with new promote in our Q2. Agri-Food grew by 3.9% organically, thanks to a strong food performance. However, more volatile, affected notably by weak trade volumes in Europe and the trucker strike in Brazil, which impacted exports. We expect this situation to normalize as we move into H2. Oil & Petrochemicals is up by 1.2% organically, perfecting mix situation by geographic. Solid performance in Europe, thanks to new services and market share gains, while more difficult conditions continued in North America. Lastly, Government Services were down by 1.5%, though the organic growth rebounded in Q2 thanks to progressive ramp-up of VOC and single window contract. The margin was stable on an organic basis as mix and operating leverage was offset by price pressure in Oil & Petrochemicals. The outlook for 2018, we expect input goals versus 2017 should, by recovering metals and minerals market, agri food businesses and stabilizing around oil services. Turning to industry, Page 27. The business confirms positive goals of 2.2% organically with 2.8% in Q2 as a result of our successful diversification. Oil & Gas CapEx related activities, 15% of divisional revenue, are now showing easing rates of decline, being down 12% in Q2 after minus 17% in Q1. Oil & Gas will pick most likely up, with solid revenue increase largely offsetting price pressure. We achieved a 20% organic growth in OpEx with the ramp-up of flat contract wins in LatAm. This segment is now as big as the Oil & Gas CapEx business, accounting for 14% of divisional revenue. The margin was stable year-on-year. We expect the business to return to slightly positive organic revenue goals. Overall, our strategy of diversification will continue to pay off. For the year, we expect to see Oil & Gas CapEx markets bottoming out. In B&I, Building & Infrastructure, Page 28. Revenue increased by 4.1% organically, with a similar organic growth in both construction-related activities and buildings in-service activities. Organic growth performance was mid-single-digit in France with uptick in Q2, high single-digit in Asia, driven essentially by China at 8% and by the more mature Japanese market, up 9%. Our geographical diversification is well underway. Chinese business now presents 15% of B&I revenue and North America 14%, thanks to our recent acquisitions, including EMG. The margin was slightly down, primarily due to mix and price effects. Acquisitions contributed positively to the divisional margin. For the full year 2018, the outlook for the business remains positive overall, with strong goals in Asia and notably in China, improving growth amount in Europe compared to last year, notably in France, driven by both CapEx and OpEx. Certification. Certification, Page 29. It was our top performing business in 2018, delivering 10.8% organic growth with a strong performance spread across most regions and categories. Q2 was up 14%. Overall, the growth was shored up by wins further ups like ISO 9000, 14,000 and IATF in the automotive sector. Q2 benefited strongly from most customers anticipating audits ahead of the revised government position deadline. At the end of June, 96% of Bureau Veritas clients were in the transition process or already complied with the new standards. Supply channel global certification grew by double-digit. Margins were healthy, improving slightly to 17.9%. This reflects the strong organic increase, which mostly offset the significant negative Forex impact. We expect the business to deliver a robust growth on a full-year basis. This implies a slower pace in the second half due to the revised standard transition deadline in September. Consumer Products. Consumer Products recorded robust organic growth of 5%, with growth across all regions in most categories. Electrical & Electronics grew by high single-digit organically, primarily driven by Automotive and Wireless. Hardlines also achieved a high single-digit growth while Toys stabilized. Softlines delivered growth below divisional average despite robust performance in Asia. Commercial wins in the semester include contracts with Amazon and Spotify in the U.S. H1 margin progressed organically by 30 basis points to a strong 23.8%. Operating leverage and margin initiatives more than offset some price pressure and the negative business week. In 2018, we expect Consumer Products to maintain mid-single-digit growth, reflecting strong growth in Electrical & Electronics, led by SmartWorld on automotive initiatives. Solid growth for Hardlines with a stabilization in the Toys subsegment. I move to the outlook, Page 32. For full year 2018, our outlook is confirmed. We expect an acceleration on organic growth when you compare to full year 2017, slightly improves adjusted operating margin at constant currency and improved cash flow generation at constant currencies. To conclude, Page 33. The first half of 2018 assured that the group transformation is well underway and that our 2020 ambition is on track. Thank you for your attention. This concludes our presentation. We can now open the queue for your questions.
Operator: Thank you very much. [Operator Instructions] And your first question comes from the line of Paul Sullivan of Barclays. Please ask your question, sir.
Paul Sullivan: Hello, good afternoon. Just two questions for me. Didier, I'm noticing you're mentioning price pressure, or the term price pressure is featuring in quite a number of your comments about the divisional performance. Is that something we should take note of? Are we seeing a step change? Or is that business as usual? And in B&I, in particular, I think you're talking about pricing pressure, I think, for the first time. What's going on there? That's the first question. And then secondly, in terms of restructuring, we're seeing on an annual basis now and for the last four, five years, do you think we'll see more of it in the second half? And even as organic revenue growth is accelerating, I'm just not sure I get why you're still seeing – why we are still seeing quite heavy restructuring charges?
Didier Michaud-Daniel: Okay, Paul, thank you for your question. I'm going to start, of course, with your question regarding the price pressure. I will say it's business as usual. There is nothing really special. Of course, on Oil & Gas, because of the commissions which we are still charging, there is probably more pressure than it was the case three or four years ago. But I would say, now with that stabilized and I could even see now a lot more stability for the future. Regarding the B&I, you noticed a very good point. In fact, I'm talking not about new construction, I'm talking essentially about some price pressure that we had. I hope – for one time here in France, on the big contracts regarding inspection service. In fact, we had two contracts which are quite high and because it was big contracts, we had, of course, some price pressure. But again, it's not something you should note off, it's really something which is business as usual, but these two contracts in France. Regarding the restructuring now. So your question is very important because in the past two years, what we did is we had to adapt our workforce principally to the activities, and we know that we had to adapt in Oil & Gas, in particular in Latin America, in the U.S. We had to adapt also in Australia because of the metals and minerals crisis. We had to adapt in the Marine division as well because construction was down. The restructuring we work on now is different. It's more aggressive restructuring, preparing the future to achieve our 17% margin in 2020. So it's quite a different restructuring. It's adapting to the activity, then clearly taking into consideration the fact that we have accelerated digitization to improve productivity. And the second part also is, in some countries, in particular, in Europe, the division which had to be done and that we focused on now. And to answer your question to the end, we imagine probably the same level of restructuring the second part of the year, and we will discuss, of course, at the end of this year from next year, but our restructuring is going to decrease after 2019. It's going to decrease this year already compared to last year by probably EUR17 million to EUR20 million. And next year, will be even lower because again, the workforce is totally adapting now to our activity. What we do, we are refocusing now on potential productivity improvement, again to deliver our 17% at 2015 current – constant currency in 2020.
Paul Sullivan: Very clear. Thank you very much.
Didier Michaud-Daniel: My pleasure, Paul.
Operator: Thank you. And your next question comes from the line of Aymeric Poulain of Kepler Cheuvreux. Please ask your question.
Aymeric Poulain: Thank you, good afternoon. The question I have is on the construction, on B&I and the organic growth. You mentioned, in Q1, some potential calendar, positive calendar effect in Q2 that don't seem to really appear. And here we see also a slowdown in China, which put more emphasis on the French turnaround and growth prospects. Could you give a little bit more color on the situation in France? And when we should start seeing the impact of some of the infrastructure projects you're involved with? That's the first question. And second question is on the free cash flow and the prospect in terms of the improvement of that free cash margin. I understand you mentioned that you would like to do on the working capital side of the equation. So I was wondering how you see that panning out in the second half in terms of cash collection? And how you manage the growth and the balance between the growth prospect and the cash collection efforts?
Didier Michaud-Daniel: Thank you for your question. I'm going to start with your first question regarding Building & Infrastructure in France. In fact, to be very transparent with you, France was up 2% in organic growth in Q1 and 4% in Q2. So we knew on top of it that there were some strikes in France. And the main particular which could have offset the part of this organic growth. So clearly, we can see now we are moving back to organic growth in France. And again, we had the opportunity to discuss it before, the real positive impact of infrastructure on companies is going to start really in 2019. So it's coming from, what I would say, the base business, meeting the inspection and service and infrastructure. So quite a better news in France. Now regarding the other part of the work, China IT delivering very well, of course in China, from one quarter to another, depending on the type of contract you work on and we're talking about use contract. As you recall we renew, you connect with a different from one quarter to another, but we are still extremely optimistic with the backlog we have for the Chinese B&I business. Maybe some words about the two acquisitions we've made in the U.S., Primary Integration and EMG. We are, after all, just a three or four months. Very happy with these acquisitions, of course, we recall them in the scope, but the organic growth is very good. I'm going to let Nicolas maybe say some words about the free cash flow and our move for cash which are starting to pay off, Nicolas, but we are accelerating to deliver our cash.
Nicolas Tissot: Yes. Absolutely, Didier. Yes, we are actually rolling out the program. First, I want to remind that the free cash of H1 in '18 is the best level of free cash flow generation of the last of three years. If you look at the H1s of 2016 and 2017, so there is a clear rebound. An element of satisfaction for us is that despite the acceleration of growth during the Q4 – the Q2, sorry, 4.4% organic growth, we see the movement in working capital very similar to last year and we believe that this is a first result of the new for cash initiatives. New for cash initiative is now rolled out all over the world; the project was deployed in many countries. We trained around 400 managers. We have chosen more than 100, what we call, cash champions to implement the initiative. And we start to feel it in the working capital evolution, but we strongly believe that more is coming, because we are really full-speed only in the last few weeks or months. So more is coming and we – that's why we feel absolutely confident on the guidance we have given regarding free cash flow for this year [indiscernible] compared to last year.
Didier Michaud-Daniel: I'd like to maybe two important points that is the fact that now 20% of the bonuses of the people or the manager of the company is linked to cash flow. So it's quite a change and of course, the attention is very important on the cash. And the second important point is the fact that the pressure are now on working capital and after three years have been all the cycles down, we can focus now on key metrics, margin and of course, working capital is very fact. We're starting to get some payoff. That's why we are very confident that we'll get more for H2 and the years to come.
Aymeric Poulain: Okay, thank you.
Didier Michaud-Daniel: My pleasure, Aymeric.
Operator: Thank you. And your next question comes from the line of Rajesh Kumar of HSBC. Please ask your question.
Rajesh Kumar: Hi, good afternoon. Thanks for taking the question. If you look at the margin progression, 30 bps pressure, do you think you're in a decent position now that half of it is coming from Marine and it's been very difficult to predict what the Marine business would do? But if you look – excluding Marine, do you see the incremental pricing environment supportive of sequential improvement? Or do you think there's a bit more to go? Or you need to cut more cost to stay where you are? Related to that, the second question is, could you give us some color on what was the impact of provisions on the margins? And also, when we look at the EBITDA margin decline, that's more like 55 bps, where the EBITDA margin decline is 30 bps. So what's driving that difference? That would really help, because assets haven't come down, depreciation and amortization have. So yes?
Didier Michaud-Daniel: So again, it's important. I wish that you understand that. Again, in the last, let's say, three years because of the all the cycles being down, we had to restructure the company. We have to focus on digitalization and so on. Now clearly we can see organic growth is coming back. Of course, if Marine is included, Marine & Offshore is included, is bottoming out. So the focus of the company even, and we did this before, and the margins very well in very challenging circumstances, it's clearly to improve the margin and again to achieve our 2020 plan at 17% and plus. So we have a margin program in the company. We work on, let's say, on four main topics: The first one is still some restructuring and what I call dealing; the second one is clearly lean management tools that we implemented five years ago, but still running. And of course, when you do not restructure anymore because of the activity you can accelerate; the third one is purchasing; and the fourth one, which is important for us today, organic in some countries in particular in Europe, is digitalization to at first to improve productivity. These are the four main topics we're working on to achieve our commitment to the market in 2020. I let maybe you, Nicolas, to answer about the – some allow about the impact of provision and the...
Nicolas Tissot: And I think that was also a question on the Marine & Offshore margin impact. Regarding provision movements, we had some movements. I mean two, things to highlight. Firstly, we started to – we started – we had the first implementation of IFRS 9 as you know, and by that and we used some of the provision we have bid at the end of last year. So I think some bad debt issues. So this is the first implementation of that new IFRS rule, which is happening and is going to be the case in the future because this provision will keep on being fueled and concerned depending on the situation of some of our bad debt. On the second element, I can – significant element I can mention is a link to one litigation in Marine. I'm not going to mention it specifically. But we have an improvement of our position, an investigation, and we could release the provision which we have taken on this litigation, so that's the two key elements which explain the swing compared to last year.
Rajesh Kumar: So that's about 40 bps benefit combined?
Nicolas Tissot: Yes. I think the total amount at stake is smaller 10 million in total.
Rajesh Kumar: Okay. Because you think constant currency, you have 20 bps of margin improvement. But at actual currency, you had a 30 bps decline. Now the 20 bps improvement, almost all of it can be seen as depreciation as a proportion of sale, D&A as a proportion of sales has declined. So if I take that provision benefit, which is a real benefit because you want be paying that cash in the future, then it looks like even on constant currency, the underlying margin declined by something like 30 bps and at constant currency.
Didier Michaud-Daniel: No, no. Maybe you could have a, I would say, this color. It would help, but when we give you more details now because it's about the calculations, so I prefer that we do it, I would say, this call. But no, no, we confirm the 20 basis points improvement at constant currency with two activities usually at high level of margin, Marine & Offshore and CapEx around gears we shout out today bottoming out. So this is clear.
Rajesh Kumar: So – and you think this trend can continue in the coming quarters?
Didier Michaud-Daniel: We are working hard on it. And we hope, of course, and I may have some question about it to have Marine – we're confident that Marine will recover progressively, because we have the backlog now. And we can see already some CapEx Oil & Gas projects being back. Of course, we need to win them. But going to help us, on top of the four action that I mentioned to you to improve – to continue to improve our margin.
Rajesh Kumar: Understood. Thank you very much.
Didier Michaud-Daniel: My pleasure.
Operator: Thank you. Your next question comes from the line of Tom Sykes of Deutsche Bank. Please ask your question.
Tom Sykes: Yes, good afternoon, everybody. And firstly, coming back on the working capital because your reported revenues were down, and organically, you added about EUR85 million, EUR90 million of revenues. So how do you then have EUR150 million of working capital elsewhere? And why should we see that as an improvement? Sorry, I just don't quite see where the improvement is coming from. And which particular business lines or geographies are actually causing the biggest effect on working capital outflow at the moment, please? And then I also had a question on, you mentioned that the Certification growth might be a little bit slow in the second half of the year. What about the sustainability of the operating margin, please?
Didier Michaud-Daniel: I let maybe Nicolas answering the first question on working capital.
Nicolas Tissot: So I'm not sure I completely understood your point on working capital. What we can say is that usually the seasonality of working capital evolution in the group is an absorption of cash during the first half, which is the usual catch-all, and then a generation of cash in the second half. So this profile is confirmed, and what we see is that compared to last year when we had an organic growth of 1.6% in the first half, we were able to deliver the next option of cash to working capital, which is roughly at the same level. While the incremental – the extra growth we have in H1 this year should have – could have brought an extra consumption of several 10s of millions of euros, which we did not get because of the actions threw more cash.
Tom Sykes: I realize that the change of revenues – I mean your – the change of revenues is actually down. Your reported revenue number H1 2018 is below your reported revenue number of H1 2017. So just setting aside the first half, second half seasonality, your revenues are lower but your working capital is actually slightly higher through the cash flow statement. And even if I look at the organic growth, setting aside that the FX has probably reduced that working capital amount, then organically, even you increased revenues by EUR80 million, EUR90 million. So I just don't quite understand why year-on-year that would still consume so much working capital?
Nicolas Tissot: Yes. But you get that because actually I'm talking about the movement in working capital all-inclusive. So if you take into account the Forex impact, it's a reduction of the absorption of working capital, so you really get the impact of the Forex movement. And I think the most interesting element is really the fact that at constant currency, we are not consuming more and we are, even at constant currency, consuming less than last year.
Tom Sykes: Okay, and just on the French dividend issue and the operating cash flow. Sorry, could you just remind us whether that is a full-year effect as well? Or is it just a half-year effect? I can't remember.
Nicolas Tissot: You mean the amount of the dividend?
Tom Sykes: Yes. Just the France benefit that you had in the cash flow from...
Nicolas Tissot: The impact of the 3% on the dividend, the impact of the 3% tax on the dividend was EUR7.2 million charge in 2017 in France.
Tom Sykes: Okay, thank you. And then maybe just on the sustainability of the Certification margin if things slow down there a piece?
Didier Michaud-Daniel: Okay, so on the margin, we are still optimistic because we are doing a good job. On top – of course, today, as we explain it to you, we're working on the certification, I assume. But at the same time, we are developing a lot of new certification schemes regarding particular bond protection and suppression, which is growing, by the way, by double-digit. And the margin on the start of the business is quite good because usually it's decision from the client. The best way to answer this question is to confirm slightly improved adjusted operating margin at constant currency for the year. After the mix can change a little bit, knowing that Marine should recover, we start to see a good impact, positive impact on what we have done in some countries thanks to digitization. So overall, we will achieve our guidance. On the Certification side, it's a little bit too early to tell you. Could be a small decrease, but again, might be at a similar level.
Tom Sykes: Okay, thank you very much.
Didier Michaud-Daniel: My pleasure.
Operator: Thank you. [Operator Instructions] Your next question comes from the line of Andy Grobler of Crédit Suisse. Please ask your question.
Andy Grobler: Hi, good afternoon. Couple of questions from me as well. Just on the Industry division, when does the Qatargas contract start? And I was also just trying to work out, with 2.8% organic growth in Q2, why you're only forecasting slight organic improvement for the full year. Is that not a bit conservative, given the progression? And then secondly, within consumer, looking at the Q2 growth rates for Hardlines and E&E, the implication is that Softlines was down in Q2 organically. Is that correct? And if so, where is the weakness within that part of the business coming from?
Didier Michaud-Daniel: I'm going to start with Qatargas contract has already started. In fact, it started in May and is going to be gradual ramp-up. It should bring EUR10 million of revenue per year when it's going to be at a full speed. So it's going to be a little bit progressive this year, but it should bring some good revenue next year. We are very pleased with this contract because, on top of the size of the contract base here, this is a combination of services and this is the way we want to move because this is not too much commoditized, because a combination of services would be called risk asset management, asset risk management. So helping the client really to manage its assets, so it's an opportunity for us to go and meet some of our clients, which we do today to sell this type of contract. On the Consumer business, last year, consumer product was quite full in Q2. So there is a question of compare. We are still optimistic and we feel that we will achieve the same level of organic growth for the year as the one we unveiled for H1.
Andy Grobler: Within that – just going back to the specific part of the question, was Softlines down in Q2? And if so, where was the weakness coming from?
Didier Michaud-Daniel: No, it's not a question of compared to last year. We had a very, very strong June last year, in particular on Softlines. So it's a weird question of compare, but we are more or less on the same pace for the end of the year.
Andy Grobler: Okay, thank you.
Didier Michaud-Daniel: My pleasure, Andy.
Operator: Thank you. And your final question comes from the line – I'm sorry, I have no further questions. [Operator Instructions] Thank you. Your final question comes from the line of Rory McKenzie of UBS. Please ask your question.
Rory McKenzie: Hi, good afternoon. I’ve got in the end, thanks for taking my question. Just on that first location slowdown you just got asked. Do you expect to see still strong growth all the way up to the deadline for the reaching of standards in September? So should we be expecting a double-digit growth again in Q3 and then a sharp change, maybe even organic declines in Q4? Or do you think the slowdown would be more gradual? And then, my second question again is on the margin drags. That building caused a 20 bps drag on the margin in H1. Will that be still there? Or any easier in H2?
Didier Michaud-Daniel: So I'm going to start with Certification, and we do not expect that there will be this growth – organic growth in Q3, neither in Q4. It is going to slow down because we've already done 96% of what you expected. But we still continue to foresee good growth in Certification, thanks to the new certification schemes that we've launched this year and the years before. So we are still optimistic, not at the level we enjoy today, clearly. For – so it's going to slow down, for sure, in Q3 and Q4. For the margin question, Nicolas, could you answer, please?
Nicolas Tissot: On the margin, I think we delivered a margin in H1, which is coherent with the – I'm talking about the global margin, we are coherent with our [indiscernible] guidance, which is a throw off – a slight improvement at constant currency, and we are pleased to confirm that we expect H2 to allow for that guidance to be achieved.
Didier Michaud-Daniel: Okay, no more question. I think there is no more question. Rory, thank you for this question, by the way.
Operator: Excuse me, sir. We do have one last final question coming. Will you take this question?
Didier Michaud-Daniel: Okay. Yes, I'm going to take it.
Operator: Thank you. It comes from the line of Rajesh Kumar of HSBC. Please ask your question. Hello Mr. Kumar, please ask your question.
Didier Michaud-Daniel: Okay. So maybe what we could do is maybe Rajesh Kumar could call alone, because we need to end this call. So I wish all of you – because it seems he's not on the line anymore. I wish you good morning, good afternoon and good evening. And thank you for your attention. Bye-bye.